Operator: Thank you for standing by. This is the conference operator. Welcome to the K92 Mining 2024 Third Quarter Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference call is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. David Medilek, President and COO. Please go ahead, sir.
David Medilek: Thank you, operator, and thanks, everyone, for attending K92 Mining's 2024 Third Quarter Results Conference Call. We hope you and your families are doing well. In addition to myself, we have on the line John Lewins, Chief Executive Officer and Director; and Justin Blanchet, Chief Financial Officer. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A and Slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in United States dollars unless otherwise noted. Now I'll turn it over to John to provide you with an overview.
John Lewins: Thank you, David, and welcome, everyone. We begin with safety, K92's number one priority as always. I'm pleased to report there have been no lost time injuries in the third quarter, marking yet another major safety milestone with now five consecutive zero LTI quarters. During this time, two independent safety audits were completed. From these audits, a number of actions were identified and many actions have already taken place and been completed. Safety technology on-site has been enhanced, including a proximity and collision avoidance system and in-cab monitoring with more system planned in the future, particularly once our underground communication system upgrade is complete, which I will speak to later in the presentation. Personnel changes have been implemented and resources for safety and training have been and continue to be expanded. Culturally, there's also been multiple positive leading safety indicators. As shown in the charts, for several consecutive quarters, there's been a significant increase in job safety assessments to reinforce our safety-first mindset and the number of safety warnings from our in-cab monitoring system has significantly reduced. As stated on previous conference calls, we take the increased lost time injury frequency rate in 2023 very seriously, while also noting that historically K92 has operated with one of the best safety records in Papua New Guinea and the broader Australasia region, as shown in the previous slide. However, I'd like to reiterate that K92 relentlessly pursues our goal of achieving zero harm among our workforce. On the ESG front, we're pleased to provide a progress update on our Infrastructure Tax Credit Scheme, also referred to as ITCS, and its inaugural project, the upgrade of the Konkua-Bilimoia Road, which commenced in May 2024. The $6.6 million project and other ITCS projects are expected to be transformational for many of our communities. This road, through the construction of reliable and efficient sealed road access, will connect many of our communities to the main road network and ultimately lead to significant opportunities for increased trade and business development as well as improving access to education. Funding for the project is through a tax credit scheme with up to 2% of our annual accessible income to be allocated by K92 for government-approved community projects and deducted from future corporate tax payable. Importantly, the program structure means that as our mine grows, our income grows, taxes and tax credits grow to the benefit of our communities. Based on the updated Integrated Development Plan or as we refer to it, the updated IDP the PEA case at $1,900 per ounce, we forecast an additional 180 million allocated to the program from the current life of mine which will clearly be very transformational to our local communities. We obviously highly commend the Government of Papua New Guinea for creating this program and note that this program is in addition to our existing community development programs. K92 is extremely proud of the positive impact it is having on the prosperity and development of Papua New Guinea and we encourage you to read our latest sustainability report found at www.k92mining.com. Now, moving on to operational performance. During the quarter the Kainantu Gold mine delivered a record quarterly production of 44,304 ounces gold equivalent. A total of 104,992 tonnes was processed at a head grade of 13.8 grams per tonne gold equivalent, which is the highest head grade since Q4 2020 and above budget. This benefited from higher stope grades in Q2 reporting in Q3 in addition to a moderate positive gold grade reconciliation versus the independent mineral resource. Due to the higher grades, throughput through the plant was deliberately reduced to maximize recoveries. The strong production delivered a significant decrease to our cash cost and all-in-sustaining costs, recording $584 per ounce cash costs and $941 per ounce gold all-in sustaining costs. This is significantly below our 2024 operational guidance of $820 to $880 per gold ounce cash cost and $1,440 to $1,540 per gold ounce all-in sustaining costs. Well positioning the company for its 2024 cost guidance. As annotated in the chart, all-in-sustaining costs have been elevated for the past few quarters as the company continues to make a considerable investment in the Stage 3 expansion, particularly in 2024 with costs expected to decline considerably after delivering the expansion, which will be discussed later in the presentation. With over 80% of gold equivalent production for the lower end of our guidance delivered in the first nine months of the year, K92 is well positioned to meet its production guidance for 2024 of 120,000 ounces to 140,000 ounces of gold equivalent. In terms of our key operational quarterly physicals, material movements, and development delivered a notable increase from Q2 while plant throughput increased slightly. As noted, it was held at a reduced rate to maximize recoveries during this period of higher grades. In terms of development, subsequent to quarter-end, we're pleased to report that October delivered a new monthly advance record of 904 meters. Now, this is particularly encouraging as it's ahead of various key enablers, which fully integrate to increase lateral development rates. Firstly, power upgrades and interim water supply for the main mine was recently completed and we benefited from this in October. Secondly, as shown in the chart, the number of headings is expected to significantly increase by approximately 80% by year-end and 200% by mid-2025. Importantly, each step change in additional headings is effectively driven by an additional mining front being fully activated, allowing us to work in independent mining zones with reduced congestion and increased mining flexibility and productivity. We have eight operational jumbles within the company, four active, two operating spares. The other two are currently undergoing more extensive maintenance with the first jumble scheduled to be reactivated in December. From this, it is clear that we have significant jumble capacity to hit our targets once the number of headings increase and infrastructure upgrades are completed. Thirdly, we have been expanding our mining team and including recruitment of additional management and supervisory levels specific personnel with high-speed development expertise, and these are being onboarded over the coming weeks. Lastly, our interim ventilation upgrade is on track for completion by the end of this month. This is expected to deliver a notable increase in the main mine ventilation ahead of the life of mine upgrade from the Puma Incline. In short, based on the updated IDP, we're ramping up to 1,200 meters of advance per month. We're already over 75% of that in October and this was achieved before the vast majority of the key enablers came into effect. We expect to realize the initial benefits of the enablers in the first quarter of 2025. The process plant has obviously been a major positive for 2024, delivering multiple daily, weekly, and monthly throughput records. As a result, the nameplate throughput has been upgraded by GR Engineering for the updated IDP from 500,000 tonnes per annum to 600,000 tonnes per annum or 1,644 tonnes per day. A 20% increase is shown on the chart. Importantly, even with the upgraded nameplate, our monthly, weekly, and daily throughput records exceed the upgraded to a throughput by 12%, 31%, and 45% respectively. Clearly demonstrating that with the tonnes in front of it from the mine, it's extremely capable and provides significant optionality going forward. The records also highlight the potential that the Stage 3 process plant, which was designed on the same throughput parameters as a Stage 2A process plant is more capable than its 1.2 million tonnes per annum nameplate design. And in the third quarter, the process plant set records in terms of metallurgical recovery. As shown in the bar chart, Gold achieved record quarterly recovery of 95.3%, significantly greater than the 92.6% average recovery in the updated IDP. September delivered a record monthly recovery of 96.5%. Copper recoveries have also been strong and better than the updated IDP recording recoveries in Q3 of 95.1% versus 94% in the updated IDP. We see additional upside to recoveries upon the delivery of the Stage 3 process plant under construction, which is a more optimal plant design plus more modern instrumentation including online analysis. I'll now turn over to our Chief Financial Officer, Justin Blanchet to discuss our financial results for the first quarter.
Justin: Thank you, John, and hello, everyone. During the third quarter of 2024, we had revenue of $122.7 million. We sold 45,248 gold ounces at an average selling price of $2,388 compared to 18,339 ounces at an average selling price of $1,848 in the prior year. As at September 30, 2024, there was 1,887 gold ounces in inventory, including both concentrate and dore, a decrease of 3,082 gold ounces when compared to June 30 due to timing of sales. During the third quarter of 2024, cost of sales was $41 million compared to $22.5 million in the prior year or $30.7 million compared to $14.3 million when excluding non-cash items. Q3 2024 cash flow from operating activities before changes in working capital was $61 million compared to $10.9 million in the prior year. As of September 30th, 2024, we had $120.3 million in cash and cash equivalents, spending $27.6 million in expansion capital during the quarter. We had a working capital balance of $122.8 million and had a net cash balance, including restricted cash of $81.6 million on the balance sheet. In June 2024, K92 established two credit facilities with Trafigura, referred to as a loan in the financial statements, to borrow up to $120 million with an accordion feature that allows for an increase to $150 million. As of September 30th, K92 has drawn $60 million from the loan. There are no restrictions on the remaining $60 million that may be drawn from the loan. Further, the $20 million of restricted cash shown on the balance sheet as security for the loan can become unrestricted on January 1st, 2025, meaning we have access to an additional $80 million in aggregate. As John mentioned, during the third quarter, the Kainantu gold operations produced 41,702 ounces of gold, 1,278,492 pounds of copper and 37,613 ounces of silver or 44,304 ounces of gold equivalent. We sold 45,248 ounces of gold 1,615,185 pounds of copper and 46,062 ounces of silver. We incurred a cash cost of $584 and an all-in-sustaining cost of $941 per ounce of gold, which was significantly below our selling price of $2,388 per ounce. Our third quarter cash cost per ounce of gold decreased to $584 from $684 in 2023. The decrease was due to record gold ounces sold and higher byproduct credits. It is important to note that we will see downward pressure on costs via economies of scale as operations ramp up and the Stage 3 expansion is complete. I will now turn the call back to John to continue with the rest of the presentation.
Blanchet: Thank you, John, and hello, everyone. During the third quarter of 2024, we had revenue of $122.7 million. We sold 45,248 gold ounces at an average selling price of $2,388 compared to 18,339 ounces at an average selling price of $1,848 in the prior year. As at September 30, 2024, there was 1,887 gold ounces in inventory, including both concentrate and dore, a decrease of 3,082 gold ounces when compared to June 30 due to timing of sales. During the third quarter of 2024, cost of sales was $41 million compared to $22.5 million in the prior year or $30.7 million compared to $14.3 million when excluding non-cash items. Q3 2024 cash flow from operating activities before changes in working capital was $61 million compared to $10.9 million in the prior year. As of September 30th, 2024, we had $120.3 million in cash and cash equivalents, spending $27.6 million in expansion capital during the quarter. We had a working capital balance of $122.8 million and had a net cash balance, including restricted cash of $81.6 million on the balance sheet. In June 2024, K92 established two credit facilities with Trafigura, referred to as a loan in the financial statements, to borrow up to $120 million with an accordion feature that allows for an increase to $150 million. As of September 30th, K92 has drawn $60 million from the loan. There are no restrictions on the remaining $60 million that may be drawn from the loan. Further, the $20 million of restricted cash shown on the balance sheet as security for the loan can become unrestricted on January 1st, 2025, meaning we have access to an additional $80 million in aggregate. As John mentioned, during the third quarter, the Kainantu gold operations produced 41,702 ounces of gold, 1,278,492 pounds of copper and 37,613 ounces of silver or 44,304 ounces of gold equivalent. We sold 45,248 ounces of gold 1,615,185 pounds of copper and 46,062 ounces of silver. We incurred a cash cost of $584 and an all-in-sustaining cost of $941 per ounce of gold, which was significantly below our selling price of $2,388 per ounce. Our third quarter cash cost per ounce of gold decreased to $584 from $684 in 2023. The decrease was due to record gold ounces sold and higher byproduct credits. It is important to note that we will see downward pressure on costs via economies of scale as operations ramp up and the Stage 3 expansion is complete. I will now turn the call back to John to continue with the rest of the presentation.
John Lewins: Thank you, Justin. For the Exploration Growth section, we begin with an update on the Stage 3 and Stage 4 expansions which will fundamentally transform K92 into a Tier 1 Mid-Tier producer through sequentially increasing production to over 300,000 ounces per annum with commissioning of Stage 3 expansion targeting the second quarter of 2025 and then to over 410,000 ounces gold equivalent per annum with Stage 4 targeting second half of 2027 as outlined in our updated IDP which was announced last month. As at the end of October, 69% of Stage 3 and Stage 4 growth capital has been either spent or committed with a significant portion of the project on a fixed price lump sum basis. Importantly, the project is fully funded and as we have demonstrated with our strong financial position, K92 has a strong cash balance ending Q2 with $120 million in cash plus $20 million of restricted cash that K92 has the ability to make unrestricted beginning 1st of January 2025. We also have access to significant amounts of liquidity through undrawn credit facilities with $60 million available to drawdown on demand plus an additional $30 million of liquidity through an accordion feature. The record gold price environment has resulted in higher than budgeted free cash flow generation. As Justin noted, our net cash balance grew significantly in Q3 even after considerable capital expenditures for the expansion during the quarter. And lastly, our commodity price downside is protected through the cost effective purchase of put option contracts. In October for $2.2 million or $19.75 per ounce, we purchased an option contract for the next nine months covering 12,500 ounces of gold per month at $2,400 per ounce to protect against downside price risk. To be clear, this is not a hedge we will sell at spot if it is higher. This is an insurance and we retain full exposure to the upside of the commodity price. In summary, our financial position is strong and our outlook is strong. On October the 16th we announced a major milestone for the company, the updated IDP. For the purposes of this webcast, I'll focus on the key highlights of the study. There is a recording of the detailed updated IDP webcast presentation which I encourage you to review found on our website at www.k92mining.com. The updated IDP evaluated two cases, a DFS Stage 3 case to 1.2 million tonnes per annum and a PEA Stage 4 case to 1.8 million tonnes per annum. From the prior IDP in 2022, the significant upgrade to the economics driven by but not limited to incorporating the updated resource, which was particularly impactful for the PEA case, incorporating the highly accretive new offtake with Trafigura, incorporating a 20% increase to Stage 2A plant throughput nameplate as noted earlier, and realizing significant margin expansion from increased gold price assumptions from $1,600 an ounce to $1,900 per ounce, which I would note is still well below spot while experiencing only moderate cost increases. Beginning with the after-tax NPV5%, the DFS case delivered an NPV of $680 million at $1,900 per ounce or almost 1.1 billion at $2,500 per ounce, while the PEA case recorded an even higher NPV of 2.3 billion at $1,900 an ounce and 3.3 billion at $2,500 per ounce. Importantly, the growth capital remains low at $194 million and $201 million for the DFS case and PEA case respectively. It's important to note that $15 million of growth capital was spent in 2023 and that's not included in that figure. After adding this to the growth CapEx presented, you'll see the growth capital for the project remains closely aligned at $216 million for the PEA case with $210 million total CapEx that was guided in our 2024 operational guidance in February of this year. The DFS case grades are high, averaging 8.5 grams per tonne gold equivalent over a seven-year mine life with an underground operation supported by measured and indicated resources is very substantial. It supports an average run rate production of 303 ounces gold equivalent per annum with a peak of 319,000 gold equivalent ounces. Over the life of mine, the costs are very low. The all-in sustaining costs $920 per ounce gold equivalent on a coal product basis or $665 per ounce on a net of byproduct credit basis. For the PEA case, the grade is also high averaging 8.2 grams per tonne gold equivalent over a substantial 14 year mine life supporting a run rate of 414,000 ounces gold equivalent per annum with a peak of 485,000 ounces gold equivalent. Costs are even lower for the PEA case benefiting from the higher throughput rate with all-in sustaining costs of $822 per ounce on a co-product basis of $432 per ounce net of byproduct basis. The cutoff grade for the PEA case was lowered by 0.5 grams per tonne gold equivalent from the previous IDP based on an internal decision to have a moderately longer mine life at comparable NPV, which we believe is in the best interest of our various shareholders, particularly the local community and Papua New Guinea. Both cases have the commissioning of Stage 3 plant expansion commencing late Q2 2025 and it's important to note that construction is currently tracking slightly ahead of this. For the PEA Stage 4 is planned to commence second half 2027. Now the following slide summarizes the comparison between the prior IDP and the updated IDP for both the DFS and PEA cases. The key points from this slide are firstly, after-tax NPV5% at $1,900 per ounce increased by 16% for the DFS case and a very significant 73% for the PEA case. Using prices closer to spot at $2,500 per ounce, NPV increased 86% for the DFS case and a very, very substantial 149% for the PEA case. Secondly, the particularly significant increases in NPV for the PEA cases are driven by a combination of major expansion to our all-in sustaining cost profit margin of 16% and $1,900 per ounce and 81% at $2,500 per ounce and total ounces produced increasing by 46% which extended the final year of production by five years. For both cases, run rate and peak production remain fairly similar to the prior IDP. In summary, the updated IDP has delivered a major improvement in economics. They're looking at the life of mine plant material movements. The DFS case achieves run rate throughput in 2027 while operating at a fairly steady head grade for most of the mine plan. In terms of the PEA case, it achieved Stage 3 run rate of 1.2 million tonnes per annum in Q1 2027 and Stage 4 run rate throughput in Q4 2027. It operates for almost eight years at maximum or near maximum throughput which is a significant improvement on the prior IDP. Grades are below average in 2029 through 2031 and that is a focus of our exploration program to not only add mine life but bring higher grade feed resources earlier to maximize production and cash flow during these years. I think it's important to note the ramp-up makes allowance for the slower development rates and the impact of the mine shutdown in the first half of 2024. Now in terms of life of mine production schedule, the DFS case ramps up to run rate in 2027 which is also the peak production year of 319,000 ounces produced, the average run rate production of 303,000 ounces gold equivalent. During the ramp-up costs also come down significantly with the co-production run rate all-in sustaining costs averaging $789 per ounce gold equivalent or $397 per ounce gold on a net of byproduct basis. For the PEA case, production achieves run rate in 2028 producing 440,000 ounces gold equivalent in that year with a run rate average of $414,000 per ounce gold equivalent and a peak production of $485 per ounce gold equivalent in 2034. Through our exploration programs, we see the potential to bring in higher production years sooner. Like the DFS case during the ramp-up costs come down significantly with the co-product run rate all-in sustaining costs averaging $805 per ounce gold equivalent or $338 per ounce gold on a net of byproduct credit basis. Looking at after-tax cash flows at $1,900 per ounce which as we all know is significantly below the current spot price, both cases generate a significant amount of free cash flow. The run rate average for The DFS is $239 million per year and for the PEA case is $316 million per year. Now if we look at $2,500 per ounce, the run rate average for the DFS after tax is $328 million per year and for the PEA case is $431 million per year. In terms of the after-tax NPV5% sensitivity analysis, both the DFS case and the PEA case benefit immensely from higher gold prices. The DFS case at $2,500 per ounce delivers an NPV of $1.1 billion, increasing to $1.5 billion at $3,100 per ounce. In the PEA case, at $2,500 per ounce delivers an NPV5% of $3.3 billion, increasing to $4.3 billion at $3,100 per ounce. For the PEA case, it's important to note that the NPV at 1,900 is still considerably greater than our current market cap and we believe this study highlights the significant deep value and re-rating potential of K92. In summary, with construction fully funded and commissioning of the Stage 3 process planned less than seven months from now, we're excited about the near-term transformation of K92 into a Tier 1 Mid-Tier producer. In late October, we were pleased to host a large group of analysts and investors to the Kainantu Gold Mine to see firsthand the major transformation underway at the operation and also the mining-friendly jurisdiction of Papua New Guinea. This picture was taken on the 1185 primary fan chamber which is a massive 15-meter-wide chamber that will host our two 1.9 megawatt fans. Upon commissioning of the fans and the completion of the Puma Incline, the life of mine ventilation primary circuit will be complete. These fans have variable speeds capable of increasing primary airflows from the current levels by over five times, meeting the ventilation requirements beyond Stage 4. These fans are scheduled for installation late Q1 early Q2 2025. Beyond the ventilation upgrade, there are multiple other infrastructure upgrades transforming the underground operation. During the site tour, the analysts and investors traveled along the existing incline to the main mine as shown on the left image and along the Twin Incline as shown in the right image experiencing firsthand the transformation that our investment in infrastructure will make in terms of mine productivity. Twin Incline is capable of handling tracks operating at four times the speed and 50% larger than those that we are currently operating. The visitors also toured our ongoing raised bore activities. The image on the right is a five-meter-diameter raise that was completed last quarter as part of our interim ventilation upgrade. The left and center images are where the raised bore is currently operating, developing our first waste/ore pass which will connect the main mine to the highly productive Twin Inclines. While visiting the raised bore site underground, our visitors were able to connect with our Wi-Fi system enabling them to access the Internet and that Wi-Fi is just part of our major underground communication upgrade that's well underway and rapidly progressing. In Q1, we plan to leverage this system to introduce the Sandvik AutoMine underground enabling surface operation of our tele-remote loaders. The image on the right is our setup outside the portal and the image on the top right is where it's located within our mine office building as demarcated by that yellow rectangle. This will enable operational tele-remote loaders during shift change, resulting in an expected increase of 20% to loader operation time. Upon implementation of this system, several additional productivity and safety technologies will be introduced including Newtrax OptiMine to monitor real-time asset health and machine productivity. Further installation of real-time CCTV, real-time in-cab monitoring and fatigue management systems, location tracking, and Sandvik AutoMine for remote drilling from surface. As our mine infrastructure is positively transforming the operation, a technological transformation is also happening concurrently, which we're very excited about. And of course, while all this is happening, the number of mining fronts is significantly increasing. We'll now move to the latest drone footage taken a few days ago from the construction site of the 1.2 million tonne per annum Stage 3 expansion process plant. Starting at the wet end of the plant, in the foreground you'll see some of the extensive structural steel that has arrived on site, and to the left are many of the various long lead items. All of the long lead items have arrived on site with the exception of the flash flock which is in country. Importantly, this is tracking ahead of construction schedule and the extensive footprint of the construction area has already been great in terms of streamlining management and providing ample space for pre-assembly. All of the foundation civils are done for the concentrate filtration and storage shed with the walls remaining. For the water services, all tank foundations and ring beams are complete. The two excavation strips as highlighted are for the MCC excavation and blinding is complete and pouring will commence shortly. This particular construction zone is not on the critical path and is being worked on opportunistically. Tail thickener belly plates are 95% complete and the works will then move on to the tail thickener wall installation. All civil works are complete. For the concentrates thickener, all civil works are complete with SMP install having commenced. For the flotation area, the cleaner side grand slab has been poured which is the one there on the left. Work is now focused on the rougher cell pad. The flotation to grinding retaining wall is also complete. The SMP works in this area pre-assembly of flotation cell's access platform structural steelwork is being progressed in the SMP Leiden area which is just outside of the view. This is to minimize installation time. In the grinding area, all civil works is complete for the SAG & Ball mill, lubrication systems, and scats bunker. All of the primary steelwork for the suspended slab on the first level is complete and secondary steelwork has commenced. The Ball & SAG decking and cyclone tower install is progressing. This area is our highest priority and our most advanced. In the surge bin and reclaim area, the reclaim ground slab foundations, pedestals, gravity take-up, and plinth is complete. The first wall lift has been poured and preparations are ongoing for imminent pour for that second wall lift. And lastly, the first lift has been poured for the crusher pocket and wall wings. All ground slab works are already complete. Works are ongoing for the second pocket and wing wall lift and also for the first level of the bridge slab. In terms of ancillary buildings, the interim power station is complete as shown on the left image. The permanent power station site establishment is underway. Engineering design is complete and long lead items have been ordered with progressive deliveries scheduled for the start of January. For the new maintenance facility, site establishment is underway. Structural steel and cranes are due on-site the first week of December. Structural steel for the expansion to the warehouse facility continues to progress as shown in the image on the right which will give you some indication of the size of the facility which is tripling. This is not on a critical path and is again is being worked opportunistically. For the pastefill plant, all the long lead items have been ordered and front-end engineering and design work completed with plans to award the construction contract later this quarter. In late October, on the first day of our Analysts and Investors site visit, we announced our latest drilling results at Arakompa. Our third set of results from this maiden program. Arakompa is located 4.5 kilometers from our process plant, even closer than Kora and Judd where we're currently mining. Our latest results consisted of 19 holes bringing the total number of holes reported by K92 to 30. The results are highlighted by step-out holes discovering a potential thick high-grade zone 250 meters to the south with KARD0029 recording 20.6 meters at 9.87 grams per tonne gold equivalent including 10.7 meters at 14.97 grams per tonne gold equivalent and approximately 60 meters up-dip KARDD0025 recording 12 meters at 11.6 gram per tonne gold equivalent within a 23.6 meter intersection at 9.87 grams per tonne gold equivalent. The results also feature significant bulk mineralization tonnage intersections with the bulk tonnage strike extending by 50% to now over 750 meters, including a bit over 100 meters at 1.92 grams per tonne gold equivalent from a step-out 250 meters to the south and 111.6 meters at 1.53 grams per tonne gold equivalent from a step-out 125 meters to the south. There are also several high-grade load intersections recorded as shown in the presentation slide here. Now, it's important to illustrate just how rapidly Arakompa is growing. The image on the left is from February this year, the center image is a snapshot from June and the image on the right is October. It's important to note that at the beginning of the year, there was one rig operating on this project, but given the significant exploration success to-date, this has now increased to four. Importantly, only approximately 40% of the non-mineralized strike length of the corridor has been drill-tested by K92 to-date. The long section on the left shows the significant 250 meter increase to strike length recorded in the latest results with the cross section on the right showing the southernmost step-out holes outlining the potential thick high-grade zone discovered. From these holes, the high grade and significant thickness is very encouraging and is currently being followed up with additional drilling. The last slide is from Arakompa looking towards the Markham Valley, providing an appreciation of the gentle topography for the potential mine site access and its proximity to the process plan infrastructure. The results today have been extremely exciting and we plan to announce a maiden resource in Q1 2025. With that, operator, we would like to commence the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And that question will come from Andrew Mikitchook with BMO Capital Markets. Please go ahead.
Andrew Mikitchook: John, thanks for taking the question and for hosting the analysts on-site earlier last month. I just wanted to touch, get a few commentary on the mobilization of the specialist jumbo operators. And then I guess I would call them consultants to optimize the advance rates. Can you give us a little bit more insight as to how that's going in the timeline that we should expect to see these people mobilize and then impact the productivity, please?
John Lewins: Okay, thanks. Thanks, Andrew. Yeah, it's good to have you guys all on-site. In terms of additional more specialized jumbo operators, it's been an ongoing process to recruit those. And we've actually had some, I think, start since you were on-site. In terms of a more specialist group and that's a couple of very specialist people. We will have those guys on-site in early 2025. So the first quarter 2025. I note that last month, for instance, was our best month for the year. So we're a bit over 900 meters. So we are seeing an improvement in our meters as we brought on some additional jumbo operators and also as we've started to bring on some of that infrastructure that we've spoken about for some time. So both of those are providing better outcomes. And then of course, as we mentioned, when we're on-site, one of the main interim measures is that improvement in ventilation which will occur later this month.
Andrew Mikitchook: Okay. And just a quick follow-up question, it was one of the highlights for me from the site visit. But can you just give us a quick update on how the raised boring reaming I guess is going with the two units you have?
John Lewins: So the smaller unit, Rhino, I think is right now is on a small vent rise. The larger unit, which is five-meter diameter. We're, I think, in the process of switching over from doing the pilot hole to starting up the reaming.
Andrew Mikitchook: Yeah, well, I think that covers my questions. We'll be watching closely. Good luck. Thank you.
John Lewins: Thanks, Andrew.
Operator: [Operator Instructions] This will conclude our question-and-answer session. I would like to turn the conference back over to Mr. John Lewins for any closing remarks. Please go ahead, sir.
John Lewins: Thanks, operator. Thanks, everyone, for joining us this morning. Very early for some, not so early for others. Look, I think we've just reported the best quarter that as a company in this mine we've ever had. Record ounces produced at a record gold price with record revenue, record cash balance and doing all that while we're constructing our Stage 3, Stage 4 expansion. So this really has been from our perspective, a quite outstanding quarter and shows the resilience and the potential of the Kainantu mine. So we're into the next quarter now. We're happy with where we are in the next quarter. We're looking forward to having another call in just a couple of month's time and where we got to for the quarter and for the year. But this is very much transformational. We're now less than nine months away from commissioning our Stage 3 starting to commission our Stage 3 plant and massive transformation that that's going to make to Kainantu moving as we've flagged pretty much to a Tier 1 producer. So with that, thanks for your time today, and we look forward to continuing to engage with you on this fairly exciting journey that we're on. Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for your participation and have a pleasant day.